Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time I would like to welcome everyone to Hain Celestial's Fiscal Fourth Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to Alexis Tessier, Head of Investor Relations. Please go ahead.
Alexis Tessier: Good morning, and thank you for joining us for a review of our fourth quarter and fiscal 2025 results. I am joined this morning by Alison Lewis, our Interim President and Chief Executive Officer; and Lee Boyce, our Chief Financial Officer. Slide 2 shows our forward-looking statements disclaimer. As you are aware, during the course of this call, we may make forward-looking statements within the meaning of federal securities laws. These include expectations and assumptions regarding the company's future operations and financial performance. These statements are based on our current expectations and involve risks and uncertainties that could cause actual results to differ materially from our expectations. Please refer to our annual report on Form 10-K, quarterly reports on Form 10-Q and other reports filed from time to time with the SEC as well as the press release issued this morning for a detailed discussion of the risks. We have also prepared a presentation inclusive of additional supplemental financial information, which is posted on our website at hain.com under the Investors heading. As we discuss our results today, unless noted as reported, our remarks will focus on non-GAAP or adjusted financial measures. Reconciliations of non-GAAP financial measures to GAAP results are available in the earnings release and the slide presentation accompanying the call. This call is being webcast, and an archive will be made available on the website. And now I'd like to turn the call over to Alison.
Alison Lewis: Good morning, everyone, and thank you for joining the call today. I will start today's call by providing a brief commentary on the quarterly results and then share my observations since taking on the CEO role at the beginning of the last quarter. I'll then walk through the decisive actions we're taking to reshape our business and the turnaround strategy designed to strengthen our foundation and win in the marketplace. Then Lee will provide a review of our fourth quarter results in more detail along with our outlook. We are disappointed with Q4 performance, which came in well below expectations on the top and bottom line driven by shortfalls in both the North America and international segments. In North America, velocity challenges and distribution losses in snacks weighed on performance. And in International, there were external factors affecting results in the quarter, including category-wide softness in wet baby food and unusually warm weather, which negatively impacted soup. Despite these short-term challenges, International remains a bright spot, and we gained market share across our total U.K. business last year. This business has clearly not been performing. At a high level, previous leadership focus had leaned heavily towards building structure, strategy and process, but we now need to dial up execution and delivery. Hain built a global operating model designed to support a much larger business which had the side effects of both inflating our cost structure and slowing down decision-making rendering us less nimble and less profitable. Compounding the issue, the company did not implement significant pricing actions in the most recent years when industry inflation was still running at a high pace, relying solely on productivity improvements to offset higher costs. As a result, many of the levers to drive growth such as innovation and e-commerce were shortchanged and have not delivered at the rates required to win in our categories. We now must reshape the business in order to improve our trajectory and unlock Hain advantages in the better-for-you space. Our immediate priorities are clear: optimizing cash, deleveraging our balance sheet, stabilizing sales and improving profitability. We have already begun to drive changes and have recently hired an interim Chief Business Transformation Officer, [ Sara Turchwell ], who brings to our business a track record of success from private equity. Sara will steer our cost reduction, streamlining and restructuring efforts. We are implementing what we refer to internally as our no regrets moves and taking decisive steps across our cost structure and operating model. We are taking aggressive cost actions and are committing to an incremental 12% cost reduction in our people-related SG&A. Fundamental to achieving these cost improvements is the unwind of much of our global infrastructure, reducing complexity in our operations and moving to a leaner and more nimble regional operating model. This model has a smaller center to prioritize speed, simplicity and impact across the organization and will result in a cost structure that is better aligned with the current realities of our business. We have restored regional ownership empowering teams that are closest to the consumer to make decisions while placing governance, compliance, people and process efficiencies at the center. As part of this effort, we have moved to two innovation hubs, one in North America and one in International, and we are already seeing the benefits in terms of speed and output, which I'll speak to in a moment. Additionally, supply chain management, along with other functions that are inherently local will move to the regions. We are removing layers and increasing spans across the top of the organization and will drive a more effective operating model in the process. Amidst the challenges in the North America business, we took decisive action to ensure greater accountability and faster execution by eliminating the President of North America role at this time. Given that brand strategy and commercial activation are squarely in my wheelhouse, I am managing the North American region as we fully address the areas of underperformance and expedite change. Our goal with these operating model changes is to reduce duplication, drive faster decision-making and align execution closer to consumers and customers. Beyond the benefits from reshaping our operating cost structure, we are scrutinizing every dollar of spend for strategic benefit and ROI across our P&L levers, while maintaining our consumer-focused investments. We anticipate implementing additional cost savings initiatives following the conclusion of our previously announced strategic review. We are confronting our challenges with urgency and determination, laying the groundwork for a leaner, faster and more execution and delivery focused company. By sharpening our priorities and taking immediate actions to strengthen financial health, streamline operations and energize our brands, we are positioning Hain to compete and win in the marketplace. Our recovery is guided by a clear set of choices and actions that balance near-term financial health with long-term growth. Our turnaround strategy is focused on five key actions to win in the marketplace, streamlining our portfolio, accelerating brand renovation and innovation, implementing strategic revenue growth management and pricing, driving productivity and working capital efficiency and strengthening our digital capabilities. Complexity in our business across our operating model and our portfolio has hampered our ability to move with speed. We are committed to reducing complexity in the operating model, as I just discussed, as well as in our portfolio. We are exiting unprofitable or low-margin SKUs, enabling us to focus resources on brands and categories with the highest growth and margin potential. In tea, for example, we closed fiscal 2025 with 91 different blends of tea across all of our SKUs. Over the next 2 years, we will reduce the number of blends to less than 55, simplifying our internal processes, capturing efficiencies across the value chain and driving margin expansion. To ensure this discipline is sustained, we are embedding portfolio management reviews to assess, add or retire SKUs continuously to maximize portfolio simplicity and value versus relying on large episodic rationalization efforts. In addition, we are exiting or selling businesses where we are structurally disadvantaged or do not have a right to win. Alongside the previously announced decision on personal care, we made the strategic decision to exit the meat-free category in North America. Following several years of declines in the category and a comprehensive internal assessment, we are discontinuing the Yves product line and will be permanently closing its manufacturing facility. Not only is this action accretive to the business, but it will enable us to sharpen our focus and resources on growing our highest potential brands and categories. As a reminder, we have significant strategic review work underway with Goldman Sachs with the goal of maximizing shareholder value. We continue to evaluate the exit or sale of businesses where we are structurally disadvantaged and are exploring other alternatives that will simplify our portfolio. We also expect to have further opportunity to refine our operating model based on the outcome of this work. While we are not yet in a position to share definitive news here, we are making strong progress, and we'll provide an update when we have news to share. Across the business, we have not innovated with the speed or at the level necessary in categories where new news is important. This has been particularly evident in our North American snacks category, where we have fallen behind the competitive set. Going forward, innovation will be a much larger part of our story as we aim to significantly increase our contribution from innovation to growth. In fiscal 2026, we have new products launching across our portfolio. In Garden Veggie, we're revamping our better-for-you credentials and dialing up the flavors with the product renovation of our core straws and puffs, expect elevated taste with new and improved salt profiles along with real cheese, real veggies, no artificial colors or flavors and amplified better-for-you attributes like avocado oil. Further, we have new breakthrough packaging to boost findability, build momentum and win with consumers. Also in snacks is an exciting new format for Hartley's with Juicy Jelly pouches in the U.K. This new format opens on-the-go occasions, including lunch boxes. Juicy Jelly pouches are not only delicious, but made with real fruit juice, no refined sugar or artificial sweeteners and no artificial colors or flavors. Juicy Jelly pouches launched in several key retailers earlier this month, supported by a high reach consumer marketing campaign, featuring out-of-home, sampling events, social and influencers. While it's too soon to comment on in-market results, retailer orders have been stronger than expected. In beverages, Celestial Seasonings recently launched the first phase of our Anytime Wellness platform, marking Celestial's entry into the sizable nonsleep wellness segment. The launch included four added benefit teas for all day enjoyment, She-Well, Good Vibes, Detox Blend and a Variety Pack. In the Meal Prep category, Greek Gods Yogurt will be building upon strong momentum and expanding into the fastest-growing single-serve segment in the second quarter, introducing a product with more live and active cultures than leading competitors across flavors. New Covent Garden, the U.K. #1 chilled soup brand launched a 1 kilogram value pack in three flavors. Designed to recruit larger families, the innovation is proving to be nearly 50% incremental to the category and over 70% incremental to Hain, and is being supported by a comprehensive media campaign with a reach of over 10 million consumers. We are encouraged that we now have one of the strongest innovation pipelines in our recent history, due in part to the operating model changes to empower our regions. We believe that innovation, combined with the shift in our marketing strategy to focus on digital and social should drive excitement and meet consumer needs in the market. As discussed, Hain's limited pricing actions in the last few years did not keep pace with inflation, meaning our productivity was absorbed by inflation rather than being invested in the business or used to expand margins. This year, we have revenue growth management initiatives actioned or planned across nearly the whole portfolio. In the international business, we successfully implemented pricing late in the fourth quarter to offset inflation. We are in the process of doing the same in our North America portfolio. And we have seen strong retailer acceptance of our August pricing actions across our tea, baby and kids categories. We recently rolled out pricing across our Meal Prep portfolio effective later in Q2. We are currently working on revenue growth management actions for snacks with premiumization and price pack architecture initiatives to be implemented throughout this fiscal year. In addition, we have made significant headway in reducing ineffective trade spend. We now have a more robust process to ensure that the investment produces the expected return, and we expect to deliver a reduction in our trade spend at a percent of sales of more than 50 basis points in the coming year. Generating operational productivity and improving working capital has generally been a bright spot for Hain, and both will continue to be contributors to our cash flow going forward. In fiscal 2025, we again delivered strong productivity at $67 million or 5.5% of COGS. We have a robust pipeline for fiscal 2026, and we expect to deliver more than $60 million in gross savings before inflation. Further, in North America, we are reshaping our DC network to drive greater efficiency. From a working capital perspective, we overdelivered our accounts payable improvement target in fiscal 2025 and expect to achieve further improvement this year. For fiscal 2026, we also have building blocks in place to achieve a material reduction in inventory levels this year, including resetting weeks of coverage for both raw and pack and finished goods that should generate meaningful cash benefits. E-commerce continues to be one of the fastest-growing channels in our categories, yet our capabilities have not kept up. We are accelerating our investment in e-commerce and expect to grow at or above category rates in fiscal 2026. We have strong green shoots that we need to scale. In North America, we grew 10% in fiscal 2025 behind assortment and content improvements at some key retailers. And in the U.K., soup is the fastest-growing category online in our portfolio where we grew online share from 31% to 34% in fiscal 2025. Our shift into digital and social first marketing is continuing to accelerate, driving improved ROIs and reach. In North America, we are seeing return on ad sales meeting or exceeding industry benchmark. And in the International segment, our social reach is 3x that of 3 years ago, reaching 80 million impressions per month. In summary, we are taking decisive actions to optimize cash, deleverage our balance sheet, stabilize sales and improve profitability. We are creating greater financial flexibility by rapidly resetting our cost structure to better align with the current business. We are implementing a leaner and more nimble regional operating model that prioritizes speed, simplicity and impact over global infrastructure. Our focused turnaround strategy is anchored on five actions to win in the marketplace and drive growth; aggressively streamlining our portfolio by exiting or selling businesses where we are structurally disadvantaged or simplifying our portfolio; accelerating brand renovation and innovation, meaningfully increasing our innovation renewal rate; implementing strategic revenue growth management and pricing with initiatives actioned or planned across nearly the whole portfolio; driving continued productivity and working capital efficiency; and enhancing our digital capabilities to grow our e-commerce business ahead of category growth rates. Some people have asked if I will manage the business with a light touch given my interim role? This is not the case, which is clear to all who know me. I have rolled up my sleeves and I am fully immersed in the operations. I am identifying opportunities, challenging assumptions and making bold moves where they count. I am here to put Hain on a path to unlock its full potential through the turnaround plan I have outlined, along with our strategic review so that the business is well positioned to be led by whomever the Board appoints as permanent CEO. I want to thank the entire Hain team for their continued hard work and energy as we reshape the business for success. Though the path to sustainable growth will take time, we are swiftly taking action that is stabilizing our business performance while delivering cash and paying down debt, strengthening our financial health. I'll now hand the call over to Lee to discuss our fourth quarter financial results and outlook in more detail.
Lee Boyce: Thank you, Alison, and good morning, everyone. For the fourth quarter, we saw an organic net sales decline of 11% year-over-year. Decline was driven by lower sales in both the North America and International segments. The decline in organic net sales reflects 11-point decrease in volume mix and flat pricing. Adjusted gross margin was 20.5% in the fourth quarter, a decrease of approximately 290 basis points year-over-year. The decrease was driven by lower volume mix, cost inflation and higher trade spend, partially offset by productivity. SG&A decreased 7% year-over-year to $67 million in the fourth quarter, driven by a reduction in employee-related expenses. SG&A represented 18.6% of net sales in the quarter as compared to 17.3% in the year ago period. During the quarter, we took charges totaling $5 million associated with actions under the restructuring program, including employee-related costs, contract termination costs, asset write-downs and other transformation-related expenses. To date, we have taken $88 million in charges associated with the transformation program, which is comprised of $85 million of restructuring charges and $3 million of expenses associated with inventory write-downs. Of these charges, $31 million were noncash. In order to accelerate the initiatives to streamline our operating model that Alison discussed, we are increasing the scope of the previously announced restructuring program. Restructuring charges, excluding inventory write-downs are now expected to be $100 million to $110 million by fiscal 2027, up from our previous expectation of $90 million to $100 million. These charges are excluded from adjusted operating results. Interest costs fell 6% year-over-year to $13 million in the quarter, driven by lower outstanding borrowings and a reduction in interest rates. We have hedged our rate exposure on more than 50% of our loan facility with fixed rates of 7.1% based on our newly amended credit agreement. We continue to prioritize reducing net debt over time. Adjusted net loss which excludes the effect of restructuring charges amongst other items, was $2 million in the quarter or $0.02 per diluted share as compared to adjusted net income of $11 million or $0.13 per diluted share in the prior year period. We delivered adjusted EBITDA of $20 million in the fourth quarter compared to $40 million a year ago. The decline was driven by lower volume mix as well as high trade spend, partially offset by productivity and a reduction in SG&A expenses. Adjusted EBITDA margin was 5.5%. Turning now to our individual segments. In North America, organic net sales declined 14% year-over-year. The decrease was primarily driven by lower sales in snacks, and, to a lesser extent, Meal Prep. Fourth quarter adjusted gross margin in North America was 19.2%, a 340 basis point decrease versus the prior year period, driven by lower volume mix, primarily in snacks, along with higher trade spend, partially offset by productivity. Adjusted EBITDA in North America was $10 million as compared to $21 million in the year ago period. The year-over-year decline resulted primarily from lower volume mix and higher trade spends, partially offset by productivity and a reduction in SG&A expenses, mainly due to lower employee-related costs. Adjusted EBITDA margin was 5.1%. In our International business, organic net sales declined 6% in the quarter, primarily driven by lower sales in Meal Prep and Beverages. International adjusted gross margin was 21.1%, approximately 270 basis points below the prior year period, primarily driven by cost inflation and lower volume mix, partially offset by productivity. International adjusted EBITDA was $21 million as compared to $27 million in the prior year period. The decrease was primarily driven by lower volume mix partially offset by productivity and net pricing. Adjusted EBITDA margin was 13.3%. Now turning to category performance. Organic net sales growth in snacks was down 19% year-over-year, driven by velocity challenges and distribution losses. While still declining, we did see improvement in velocities in the fourth quarter as compared to the third quarter. In Baby and Kids, organic net sales growth was down 9% year-over-year, driven by softness in purees in both North America segment, in part due to SKU reductions as well as in the International segment. On the other hand, we have continued to see strength in Earth's Best snacks and cereal, with dollar sales growth of high single digits and low 20%, respectively. In the beverages category, organic net sales growth was down 3% year-over-year driven by softness in tea in North America and private label nondairy beverage in Europe. Despite the category headwinds, our nondairy beverage brand, Joya again gained share in the quarter. And Celestial Seasonings bag tea gained distribution in the quarter, in part due to the launch of wellness innovation. In Meal Prep, organic net sales growth was down 8% year-over-year, primarily driven by softness in oils and nut butters in North America and meat-free products in the U.K. These impacts were partially offset by continued growth in Greek Gods in North America, which demonstrated high single-digit dollar sales growth in the quarter. Shifting to cash flow and the balance sheet. Free cash flow in the fourth quarter was an outflow of $9 million compared to free cash flow of $31 million in the year ago period. The decrease was primarily due to a decline in cash earnings. We continue to see improvement in our days payable outstanding. Days payable outstanding improved to 65 days from 37 days in fiscal year 2023 and 52 days in Q4 fiscal year 2024. We have made significant progress towards our goal of 70-plus days payable outstanding by fiscal year 2027. Days inventory outstanding remains an opportunity for improvement and is an area of focus for fiscal 2026. Days inventory outstanding were 88 days, up from 82 days in fiscal year 2023 and 79 days in Q4 fiscal year 2024. CapEx was $6 million in the quarter and $25 million for the year. As we look ahead to fiscal 2026, we expect capital expenditures to be approximately $30 million. Finally, we closed the quarter with cash on hand of $54 million and net debt of $650 million after we reduced net debt by $14 million in the quarter. Paying down debt and strategically investing in the business continue to be our priorities for cash. Our leverage ratio, as calculated under our credit agreement increased to 4.7x. Subsequent to the end of the quarter, we amended our credit agreement to provide increased financial flexibility. The amended agreement provides for a maximum net secured leverage ratio of 5.5x in the quarter ended September 30, 2025, and thereafter. Our long-term goal is to reduce balance sheet leverage to 3x adjusted EBITDA or less, as calculated under our credit agreement. Turning now to our outlook. Given the uncertainty in our business around the outcome and timing of the completion of our strategic review, we are not providing numeric guidance on fiscal year 2026 operating results at this time. That said, we do want to provide a little bit of color on our outlook. We expect aggressive cost cutting and execution against our five actions to win in the marketplace to drive stronger top and bottom line performance in the second half of the year as compared to the first half. For Q1, we expect net sales and adjusted EBITDA on an absolute basis to look similar to that of Q4 2025. Additionally, due to seasonality and consistent with prior years, we expect free cash flow in Q1 to be a net outflow. For the full year, we expect to deliver positive free cash flow on disciplined inventory management and continued progress on payables. We are committed to decisive and bold actions to improve our trajectory by streamlining our portfolio, accelerating brand renovation and innovation, implementing strategic revenue growth management and pricing, driving productivity and working capital efficiency and strengthening our digital capabilities. We are moving swiftly to strengthen our foundation and position Hain for sustainable growth. That concludes our prepared remarks, and we are now happy to take your questions. Operator, please open the line.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Lazar with Barclays. .
Andrew Lazar: Alison, I think Hain talks in the release -- and you talked a lot about resetting the cost structure to create more financial flexibility. I seem to remember a real challenge under previous management was really that they had to use sort of a pay-as-you-go strategy when it came to brand reinvestment because sort of a onetime reset to reinvest, was really not doable given the leverage. It would seem Hain has maybe a similar issue now. So how do you manage this and the reinvestment needed in the context of a balance sheet that's really only become more strained over the last couple of quarters?
Alison Lewis: Andrew, thanks for the question. Here's what I would say. I mean this is why we talk about driving financial flexibility aggressively against each lever of the P&L. There is money in the P&L that is there for reinvestment. We just have to make tough decisions, and we have to focus that investment against the things that drive the highest return in order to really get the flywheel going. So that is really why we're talking about that cost structure focus across each aspect of the P&L. And all of that gets focused against our five actions to win, which are the things that ultimately get that flywheel going in the right direction.
Lee Boyce: So, I would just say, just building on that, part of this is -- and that's why we kind of announced this unlocking the operating model. So there are significant incremental savings coming out of that. And I think we kind of touched upon that as well. The other thing is it is the focus areas. The strategic revenue growth management, I mean we have not taken pricing historically. That is something we have really enacted with a lot more discipline. So we had taken pricing in Q4 in international, we've been taking pricing in North America. So it is a focus on all of those. And then secondarily, as we've announced with the credit agreement, we wanted to give ourselves more headroom within that agreement as well. So it's kind of all of that. That gives us more flexibility as we move forward as well.
Andrew Lazar: And then based at least on how the portfolio is constructed currently, Lee, what's sort of the floor on EBITDA for fiscal '26 to sort of remain within your new credit agreement?
Lee Boyce: So without giving a specific number, I think what you can look at is we -- as we closed out Q4, we had a 4.7x. And I'd just remind you, this is based on the bank defined EBITDA. We've got now a headroom of 5.5x. So you can kind of back into the 4.5x the bank adjusted number, and then you can see, I mean, we've got a comfortable cushion as we move forward during the year.
Operator: Our next question comes from the line of [ John Salera ] with Stephens.
Unknown Analyst: I appreciate all the details around some of the optimization efforts you guys have underway, but I would say some of the themes are similar to roughly what we heard 2 years ago at the Hain Reimagined at the Investor Day, with a focus on kind of innovation and operational simplification. So I was hoping maybe you could just give us some insights where the Hain Reimagined program fell short and what do you think will be different this time? And maybe if you guys are looking at things in a different way or have kind of a different angle or focus that you think will kind of jump start the business?
Alison Lewis: Sure. Thank you for the question. I would start by saying, and I think I said this in the script that overall, there was a lot of work put against people, process and structure versus sort of unleashing that people, process and structure through decisions and actions. And so I think what you see differently now is some of the examples that we provided in the script where we have pricing against almost every category in our portfolio, both at the international and North America level that has a significant value to our P&L, our ability to generate cash. The second area I would say is in innovation. We have innovation against almost every single one of our categories, and I referenced some of those massive renovation in our snacks business which is getting at clean oils, getting at better salt flavor profiles, real cheese, more bold flavors, things that actually drive growth in the category. You see that in some of the convenience areas and yogurts getting into single-serve yogurt. So innovation is definitely something that has ramped up. And if you look at our pipeline, it's larger than it's ever been and you look at the level of launches that we're doing, it's larger than it's been in quite some time. These are categories that require new news, and that new news is going to make a difference on our business. The next area I would say that is different is if you look at how we are looking at our operating model and unleashing the local empowerment. At the end of the day, the business happens in our markets. And we are putting in place the resources to ensure that, that business can be unlocked in the market. I gave an example in the script of we've moved to two innovation hubs versus innovation being managed centrally, and we're already seeing the benefit from that. So making sure that we get cost out where cost doesn't matter and putting cost where cost does matter to drive that return. Another area I would speak to is just the continued driving supply chain productivity and working capital reduction. We've done very well on that but we're continuing to put pressure there. And we're into our multiyear journey on that and the fact that we're able to continue to drive productivity in the multiyear journey says that we're doing a lot of things right, and we will continue to pressure on that. So I think the biggest difference of what you see is sort of decisiveness and action and focus. The five actions to win really provide focus for the organization. And these are the five things we're doubling down, and we know that they are all difference makers on our business.
Unknown Analyst: Got it. And then, Lee, if I could ask one just on kind of the cadence of leverage throughout the year. You had mentioned in 1Q, you guys expect free cash flow to be an outflow. I would assume that we would see leverage tick up maybe a little bit in 1Q and 2Q and then come back down in the back half of the year. Can you offer any thoughts on kind of the cadence? And maybe if you guys have in mind a quarter that you anticipate to be the high watermark for leverage in '26?
Lee Boyce: Yes. So we're not -- again, we're not giving specific guidance. But you're right, there is an outflow in the first quarter. I guess the other thing I would just tie to is what we've said as we went through before, if you look at the action plans that we have in place, especially around the cost focus, you will see the benefits of that coming through in the second half more than in the first half. So I think you can think about it that way as you think around cash generation. The other thing is -- and again, I'm focused on the cash generation piece of this is really focusing on inventory as well. So we do see some big potential there, really through kind of more disciplined management of the inventory through a number of different levers. So as you go through the balance of the year, again, second half driven better performance by the initiatives that Alison went through, specifically and then driving the cost. And then from a kind of cash flow perspective, you'll learn a lot more of that as we get into the second half of the year.
Operator: Our next question comes from the line of Matt Smith with Stifel Financial Corp.
Matthew Smith: Alison, I realize it's still early days of the strategic review, but we have seen some incremental decisions in focus areas like exiting Yves and revenue growth management focus. The conclusions are likely still in process here. But from a process perspective, can you talk about what you're seeing out of the strategic review in terms of areas where you're incrementally more confident there is value-accretive potential?
Alison Lewis: Yes. I can share certainly that we continue to make progress against our strategic review. As we've indicated previously, we're not providing any updates until we have updates to give. At the same time, you've noted that we are doing significant work to streamline our portfolio and back to decisive actions. We are taking decisive actions. The exit of Yves is a great example of that, where we were structurally disadvantaged in North America in that business. The continued work we do against our SKU reduction is another area where we're taking decisive actions to simplify our portfolio. And the third area, I would say, and something that -- we haven't talked about previously is what we're implementing, which is called portfolio management review, which is really looking very carefully on how we build long-term capability around adding SKUs, investing in SKUs or retiring SKUs, so that this doesn't become an episodic event in terms of SKU reduction, but becomes an ongoing thing to manage the most efficiency and effectiveness based on the number of SKUs in our portfolio. So that's really what we can talk about today. But again, the strategic review, we continue to make progress, and we will absolutely update you when we have an update to provide.
Matthew Smith: And as a follow-up, Lee, realizing you're not giving specific fiscal '26 guidance. Does the improvement you expect in the second half require a change or an improvement in the trends within your categories? Or is it more reflective of Hain's initiatives? And how should we be thinking about the level of SKU rationalization this year? Like any quantification on the drag on sales from the business exits?
Lee Boyce: Yes. So I'd say two pieces to that. I think for the second half performance, it's all of the pieces. So it's a streamlining portfolio. It is driving -- and we've talked about the brand renovation and innovation. So driving better top line performance through our focus on that. We do have probably the most robust innovation pipeline that we've had. Where we've done well is continuing to drive the productivity. So over the last few years, we've driven over $60 million a year, continuing to drive that. . I think that kind of one of the biggest step changes is the revenue growth management and the pricing where we haven't taken that historically. So driving that as well. And around the SKU work, we're not providing specific impacts on that. But I would say we are cutting a long tail on the SKU. So we've historically been prioritizing a bit more customer-focused innovation rather than consumer focused. So it's very consumer-focused. We have cut the tail in the past, but then we've allowed it to continue to grow as we've had incoming SKUs. So a lot more discipline around that. That will drive a significant margin improvement for us as well, be enabler for a margin improvement. So that's the way you should think around the SKU work in the portfolio optimization.
Operator: Our next question comes from the line of John Baumgartner with Mizuho.
John Baumgartner: I wanted to come back to snacks and the distribution losses you're seeing there. That's been a source of distribution growth for some time. What's, I guess, causing the shift now to declines? And how much of that is sort of initiated by Hain, whether it's reduction of SKUs or some of those tough decisions for reinvestment that you mentioned Alison?
Alison Lewis: Yes. So I'm going to back up a little and talk a little more broadly about snacks. I think that's an important context for all of you to have. So clearly, the snacks performance has not been where we want it to be, let's put that out on the table. That is a fact. At the same time, what I would say is these are businesses where we actually have very good equity. We have 74% awareness versus a category average of about 45%. When you look at the category entry point, so all the attributes that bring people into the category, things like taste, things like variety, things like makes me happy, makes me feel good. We're in the top 2 or 3 in terms of rankings there. So these are businesses that actually have equity and have value. At the same time, these are businesses that require news. This is an impulse category. Impulse categories require continuous news. And so that is why we're hyper-focused on the product renovation work we're doing, getting us into new oils, getting us into bolder flavors, putting real cheese in our straws product. We're adding a fourth straw potato, which is the highest requested new vegetable flavor out there, getting us into the right packages. So we've been shy on multipacks and we've moved aggressively into multipacks, ensuring that we have the right marketing. So if I look back at January '25, we had 0 of our marketing in digital and social, we're now at 60% of our marketing in digital and social, which is critical for all businesses today, but particularly snacks business, where, again, there's so much competition. And then lastly, as you noted, on the distribution losses really doubling down our focus on ensuring that we can gain distribution, but the way that we gain distribution is by having the news and the things that consumers and shoppers want. What we've seen is our retailers are responsive when we bring them news. And while very early days, we are seeing some very preliminary green shoots as we get the right product in the right package at the right retailer. And we're seeing that, that velocity does start to improve, if I look on a period-to-period basis. Clearly, we have a lot of turnaround to do to get to overall growth in snacks, but that's where we're doubling down our focus. So I believe that answers your question on what it takes to actually not have distribution losses and to actually drive distribution and drive velocity against our snacks business overall.
John Baumgartner: And a follow-up, looking at the private label, the nondairy beverages in Europe. That performance seems pretty well below where private label is performing at least in the retail takeaway data. Is that just a function of customer mix for Hain? Or is the business encountering some headwinds against sort of retaining customers? .
Alison Lewis: Yes. So our nondairy business, I mean we did see some softness in the beginning of the fourth quarter, but we did exit the fourth quarter with growth in our nondairy business in Europe. As you know, the European business overall is heavily private label, and that also includes nondairy. At the same time, we are focused, and you'll see as we head into 2026, driving value and driving innovation in that area with new sort of plant-based cream new innovations in the Barista area. So again, what drives that growth is not different than what drives growth in other categories, which is bringing value to the consumer in form, in flavor, and we're focused on that as we go forward and believe that the growth on nondairy will continue, and that's an important part of our business, as you know, in our International segment.
Lee Boyce: And we haven't been in a position of losing customers. I mean, I guess, overall, we feel good. We're continuing to kind of win in that space. And as Alison mentioned, it's both branded and private label. I mean the overall category is still in growth. We expect our business to continue to improve further in '26. So with new contracts and innovations and then continuing high productivity. So we feel very, very good about that business.
Operator: [Operator Instructions] Our next question comes from the line of Anthony Vendetti with Maxim Group.
Anthony Vendetti: Just on the people side. So you have a new regional operating model. How many regions do you have? How many people do you need to recruit or promote from it within to run those models? And then just on the time line for the divesting and restructuring. Do you have sort of a time line? Or is that ongoing? And then just an update, I know the executive search is ongoing for a permanent CEO. But is there an expected time line to make a decision there as well?
Alison Lewis: All right. So let me talk a little bit about the operating model changes that we're talking about. So I think the first thing to say is we have two regions North America and International, and the majority of business in North America sits in the United States, and the majority of business in International sits in the United Kingdom, okay? So that's the first thing to say. The second thing to say is the model that we're employing and that we're talking about is ensuring that we have a lean center. So we had more of a global operating model. We're moving to what sits at the center is compliance, governance and anywhere we can drive people and process efficiency. But where the real work needs to happen is in the region. And so when we think about supply chain, that will no longer sit globally that sits in the region. And when we think about innovation, that doesn't fit globally that sits in the region. So that is where we really unleash for the people that are closest to the consumer and the customer. We unleash the power of that. And as I mentioned, in innovation, moving to these two innovation centers, we're already seeing the benefits of that in the changes that we've driven. In terms of the actual change itself, it's much more about and layers along with what I mentioned moving some of the resources to the regions. So it's not as much about hiring new people, it's much more about expanding the spans of individual leaders, decreasing the layers in the organization to drive speed and then at the same time, ensuring the center is very lean. Part of this operating model is obviously recognizing that our business has not grown at the level that we had anticipated. And so while we built structure for a much larger organization, anticipating a larger business, we have to have an operating model and a structure that's in line with the size of the business that we have. So I think that's the first on sort of the operating model question. I think your second question was around restructuring. And I just want clarity on that.
Anthony Vendetti: Yes. No, I was just trying to figure out the timing, yes, exactly.
Alison Lewis: We are moving now.
Lee Boyce: So we're -- we are moving through that restructuring process.
Alison Lewis: Right now as we speak. Yes, so it's now. So most of the change will be effective between October 1 and November 1. That's the timing that we're talking about, but we're moving through the change now. And then the last question, I will answer this because it's probably most appropriate for me to answer on the CEO question. So I mean, first of all, I think you know that I don't make the decision on the CEO, Lee doesn't make the decision on the CEO that the Board level decision. At the same time, what I can tell you is that the Board is moving in parallel with the strategic review for the CEO replacement. In terms of the timing of that, that obviously will coincide with as we, again, continue to move our strategic review forward. The reason for that, as you can likely imagine, is that we need to ensure that we bring in a CEO with the right capability, with the right experiences for what this business is going to be in the future. At the same time, as you've heard from me, I am 100% engaged. I am energized by the work that we're doing. I am fully committed, and I, along with the Board, are here to put Hain on a path to growth, to put Hain on a path where we can drive that flywheel and that sustainability of performance. So that is sort of what I can share with you at this time.
Operator: Our next question comes from the line of Kaumil Gajrawala with Jefferies.
Kaumil Gajrawala: I guess a question a lot of times with restructurings with a balance sheet like this is there's a desire to put a restructuring in place that doesn't necessarily rely on top line recovering. And so to what degree if all of these things that you talked about don't really come through in the way that you need -- you would prefer that it does? How much flexibility is it for the rest of the sort of P&L and balance sheet restructuring to work? .
Alison Lewis: Well, I can talk a little bit about the top line is an important part of this. So obviously, when we talk about restructuring, and all the work we'll do against cost structure overall across all levers of our P&L, I mean we're doing that in the spirit of driving financial flexibility so that we can fuel the growth of the business. So the work we're doing is really twofold. One is building the financial flexibility. And then the second thing is investing for growth, and I spoke a lot about the things that we're doing around our product to have great food, whether it's renovating our existing products or innovating and driving innovation against our current categories. We talked about revenue growth management and investing in that capability. We're seeing the value of that with our ability to take pricing. But revenue growth management isn't just pricing. It's getting the price-pack architecture right. It's ensuring that we're continuing to drive strong returns from every promotion that we run in the marketplace. So again, that's an area that we're investing and that will drive top line growth and bottom line growth. We are looking at our marketing and ensuring that our marketing model is very social, digital first, and that we can protect that marketing investment, very important in terms of driving top line growth. So we are focused against not only sort of the restructuring that delivers financial flexibility, but also the areas that drive growth. And the final thing I'll just say is also on customer side, doubling down on e-commerce, which is a significant growth channel. It's a channel where we've done a great job over the last few years of getting our content and assortment right in that channel, but now we need to invest in that channel at sufficient level to really drive that search and drive that visibility and drive that real recruitment once you get a consumer to buy in an e-commerce channel. So that's what I would say in response to your question. I hope I had answered that somewhat appropriately...
Lee Boyce: No. No, I would agree. I mean, obviously, then we are looking to control what we can control within kind of the middle and the lower part of the P&L. So especially, I mean, unlocking the savings, and we do see significant savings within the operating model itself. So that then does give us kind of the fuel and contingency as we move forward through the balance of the year. So that's why we're putting the restructuring in place. The other thing is, and we mentioned it, it's continuing where we've got a great track record is continuing to drive the productivity as well and support our gross margin.
Operator: Our next question comes from the line of Jon Andersen with William Blair.
Jon Andersen: I wanted to ask also for Lee. On the kind of the restructuring efforts around a shift from kind of global to more regional operating structure. Is that the basis of the majority of the people cost reductions that you talked about earlier? I think, about 12% or so. And is that all baked into the productivity number that you gave, the $60 million in productivity for 2026? And would that kind of build in '27 or too early to say?
Lee Boyce: So a couple of things. The focus around the 12% that we gave is around SG&A. It's not actually that productivity number. So it's incremental to that productivity number. So it's around -- yes, the SG&A base. And then the way we would see that is really beginning to get that -- or it gets that full run rate by the end of this year. So I think we announced that we're working kind of -- working through that restructuring right now, but you'd get that full run rate by the fourth quarter. And again, it's people-related SG&A. So outside of the productivity number that we've done a good job of delivering.
Jon Andersen: Okay. And would that kind of build sequentially through the year? Or is there a point in time where those benefits will kind of kick in?
Lee Boyce: Yes. I mean it will build sequentially as you go through the year, but that's why I said by fourth quarter, you'd be at a full run rate by that.
Jon Andersen: Okay. One of the other the five key actions is stabilizing sales. And I'm just wondering if you could talk a little bit more about that. Obviously, the levers you're pulling in innovation, et cetera, marketing are key to helping that happen, but you have quite a few offsets in SKU rat, and then just in some of the underlying headwinds you're experiencing currently. Do you have kind of a loose time frame in mind for where we might see sales begin to stabilize kind of on an aggregate basis?
Alison Lewis: Yes. So you're absolutely right that the actions to win many of them are around how we accelerate sales. So if you think about renovation and innovation. If you think about revenue growth management and pricing. If you think about digital capabilities, e-commerce and digital first marketing, those are all really around accelerating sales. When we talk about simplifying our business and SKU rat, we are talking about taking out SKUs that quite frankly, are very small in terms of overall sales. And they add complexity to our business overall, but they don't add a lot in terms of the overall top line and quite frankly, in many cases, not to the margins or the bottom line either. So we're being very smart about how we balance sort of the SKU reduction with getting to a point where, as I noted, one of our priorities is stabilizing sales to get to that stabilized sales position and ultimately to a gross sales position, but we're coming from behind, so it starts with stabilization as we move through the year and then getting to growth ultimately as we look at our further out models.
Operator: I will turn the call back over to Alison Lewis for closing remarks.
Alison Lewis: Great. Well, thank you, everyone, for being with us today. I'd close by just saying, our priorities are clear. We are here to really ensure that we optimize cash, we deleverage our balance sheet, we stabilize sales, and we improve profitability. We've outlined our five actions to win, which are critical to both delivery of the top line and the bottom line, and we're moving aggressively against all actions associated with those actions to win. At the same time, we are building financial flexibility with things like the operating model reset, all of our productivity work, which really allow us to protect the investment in our business to ensure that we ultimately get the flywheel going. So thank you again for your time today, and we look forward to seeing you next quarter.
Lee Boyce: Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.